Operator: Good afternoon, ladies and gentlemen, and welcome to AngloGold Ashanti's Q3 Market Update. All participants will be in listen-only mode. There will be an opportunity to ask questions at the end of today's presentation. [Operator Instructions] Please note that this conference is being recorded. I'd now hand the conference over to Mr. Stewart Bailey. Please go ahead, sir.
Stewart Bailey: Thank you very much, Judith. And welcome, everybody. Thank you for making the time to join us on today's call. We will be talking through the highlights of our third quarter market update. You're joined on the call here in Johannesburg by members of our executive team. The presenters will be Kelvin Dushnisky, our Chief Executive Officer; Christine Ramon, our Chief Financial Officer; Chris Sheppard, our Chief Operating Officer, South Africa; and Ludwig Eybers, our Chief Operating Officer of our International Business. I would urge you please to look at the disclaimer, the safe harbor statements at the beginning of our presentation, which contains important information about forward-looking statements that may be made. It's important and I would ask you to refer to it. Without any further ado, I'll hand over to Kelvin.
Kelvin Dushnisky: Thanks, Stewart. And thank you everyone for joining us today. It's been an interesting time for me, moving up the learning curve and coming to understand the company. And I want to thank my new colleagues here at AngloGold Ashanti, who have been incredibly open and supportive. I'm just over two months in the role, but I can tell you that I've been impressed with the depth of talent I've encountered. And as I improve my familiarity both with the operations and the pipeline, I'm excited about the potential I see, and the culture and discipline that exist across the business. Before I get into the numbers, I'd like to thank my predecessor, Venkat, for his important contribution toward establishing the strong foundation that we have to build from. You'll be familiar with our common sense approach, which starts with a focus on safety and all other aspects of sustainability. We're active managers of the portfolio and we'll continue to tightly manage costs and capital to ensure our balance sheet stays fit for any market environment, this is particularly important to me. Ludwig will walk you through the fundamental improvements to our operations as well as the strong optionality in our pipeline. These pillars support our main objective of improving cash flow and returns on a sustainable basis. I've been working closely with Ludwig and Chris, in support of our operational excellence initiative, which will help us continue to progress down the cost curve. Christine will ensure we meet our investment needs, while keeping a sharp focus on the balance sheet. I've had the opportunity to spend a week in Ghana, where there is excellent work being done on margin improvement at Iduapriem, and steady progress by Graham Ehm and his project team to unlock the outstanding potential at Obuasi. While I was there, I had the occasion to meet with the mines minister and his colleagues on the minerals council. And I could not have come away from those meetings feeling any more confident about their support. Ensuring the schedules are met to deliver Obuasi on time and on budget, is a top priority for me, as is ensuring our South African business stays free cash flow positive. I'm familiarizing myself with the opportunities at each of our assets and I look forward to working closely with the management team, to ensure that we realize on them. Safety remains our number one priority. Long-term improvements and new benchmarks in safety have again been recorded with our all-injury frequency rate for Q3 at an all-time low of just over 4, as this slide indicates. That's an improvement of more than 40% over the previous year. I'm encouraged to have discovered a strong reporting and learning culture here, especially with respect to high potential incidents. It's certainly pleasing to be able to present a strong set of numbers in my initial quarter as CEO of the company. The business has demonstrated improvements in every key area. Full year operating guidance remains on track with cost at the lower end and production trending to the upper end of the guidance range. All-in sustaining costs improved by 14% year-on-year and production from most of our assets delivered either in line or better than expected results. Having consistent reliable performance from our operations, while actively managing risks is key to being successful over the long-term. And this is yet another quarter where these efforts are showing results. Notably, we continue to turn the corner on free cash flow, generating $34 million during the quarter. All things being equal, we expect that to get even better in Q4. In a few minutes, Christine will touch on the solid works that's been done to keep the balance sheet in good shape and to maintain strong liquidity. And now, I'll hand over to Chris for an update on the South African operations, then Ludwig will take you through the international operating and projects portfolio.
Chris Sheppard: Thanks, Kelvin. In South Africa, we've managed to sign a 3-year wage agreement with all our unions, which includes what has been taken as a fair wage increase by all parties involved, as well as the new shift arrangements agreement. The revision of shift arrangements is an important step towards improving productivity in the region. It is aimed at ensuring safe workplaces and safe work practices. And it's expected to result in increased operational efficiency through sufficient face time being available to complete the main elements of the production cycle in that time. To note, our production crews will be working an 11-hour shift for 5 days a week within a clear fatigue management framework. Looking at the restructuring work in South Africa, we managed to reach a balance between preserving local jobs, while rightsizing our overhead structures for now much smaller production base. Our focus is to responsibly create a South Africa region business that is profitable on a sustainable basis. We mitigated job losses, from 2,000 jobs initially anticipated in the most recent Section 189 downsizing process to a much lower number. This was done through offering voluntary severance packages and selling non-core assets such as healthcare facilities and rail networks in the Vaal River region, under the ambit of a job-loss avoidance agreement with the relevant unions. Turning to Slide 8, production for the group at 853,000 ounces during quarter 3 remains steady when compared to the previous year. In South Africa, a strong performance by Mponeng mine at 25% improved production year-on-year, mainly due to higher than anticipated in-situ grades and improved mining practices. Our Mine Waste Solutions faced challenges regarding volume and grade of a temporary nature, while the commissioning of the Aachen shear reactor technology is expected to provide gold recovery improvements going forward. I'll now hand over to Ludwig.
Ludwig Eybers: Thanks, Chris. Good day, all. We're still on Slide 8. In Continental Africa, we saw strong performances from Kibali and Iduapriem, with production up 55% and 11% respectively. Those improvements came on the back of higher throughputs and grades. This more than offset lower grades and teething issues at Siguiri, where we completed the CIL commissioning. In Australia, upgrades are taking place at both Sunrise Dam and Tropicana to improve cost, efficiencies and margins. Tropicana recorded another solid quarter with increased head grade and mill throughput. And its second 6 megawatt ball mill is on track for commissioning by year-end. At Sunrise Dam, production was impacted by teething problems with the new floatation circuit, aggravated by extraordinary arsenic pyrite material mined during the quarter. This material is associated with lower recoveries and is temporary of nature as we mine through the orebody and during plant feeds. We've seen better blends over the last couple of weeks as well as the new floatation plant starting to stabilize to design performance. In Americas, Serra Grande production increased 13% year-on-year, while across the region improved significantly as part of the operations excellence program and with the help of weaker currencies. As reported previously, production is weighted towards the fourth quarter for the group. Year-to-date portfolio has produced nearly 2.5 million ounces. And if properly pieced together that we're expecting a significant increase in production during quarter 4, to level at the top-end of our guidance range. The increase will come from Australia, Brazil and Geita. Moving along to our costs on Slide 9, the mines produced an all-in sustaining cost of an average of $920 per ounce, with mines falling closer to the median of the global cost curve. Importantly, about 4/5 of our production generates a margin of 20% or more. The mines within the margins are either being improved or are mature with stable operations. At Sunrise Dam, for example, we expect to see more predictability as we complete the commissioning of the new circuit as discussed earlier. The focus is now very much on increasing the reserve mine life, which is associated with higher capital. These activities at Sunrise Dam will soon fall away as we stabilize operation, giving us the margin benefit. As we go into 2019, we expect cost to improve at Iduapriem as we get into higher grade material; at Siguiri, as the new project ramps up; at the South African operations, as we digest the restructuring efforts of this year; and at Kibali, as production from the underground yields higher quality material. Moving on to a quick update on projects on Slide 10, the Kibali project is now complete with underground mining fully operational. The Azambi hydropower plant was commissioned in September and work on the next phase on the TSF is on schedule by year-end. At Obuasi, redevelopment work has started in earnest with major contracts awarded. Detailed planning for the plant refurbishment is well advanced. And we've started taking delivery of the mining fleet. We took the decision to purchase the fleet, adding around $40 million to the project capital. In return, we expect savings of around $25 per ounce on operating cost. Despite permitting earlier this year, taking a little longer than we planned, first production remains on track for the end of 2019. Also, we now expect to spend about 15% of our capital this year, 55% in 2019 and 30% in 2020. The Siguiri combination project with aims to achieve higher grade, will extend life, lift production and increase margins. The CIL circuit was commissioned in August, allowing the plant to process transitional material. The milling circuit, crushing plant and new power plant are on track for completion by year end. At Mponeng, the life extension project has unfortunately experienced slight delays due to a fatal accident earlier in the year. But the ore handling infrastructure is now complete and we're producing from 123 level. As we get to open up - on 126 level - we're finding that the geological complexity of the orebody requires more or some additional secondary support. That means, slightly slower advance rates as we take the necessary precaution to ensure safe production. Moving to Slide 11, a $130 million per year investment in exploration is critical to ensure our long-term success. We currently allocated about 20% of that to our Greenfields efforts in Australia, around Sunrise Dam, and in North Queensland. In the U.S., we're drilling at Minnesota and Nevada; as well as Argentina, Brazil and West Africa. We have always seen exploration as the best way to maintain optionality in our portfolio. We have a strong track record that sets us apart in an industry that often has to resort to value-dilutive M&A to fill up the production pipeline. Strategically, we also use a portfolio of equity investment and earning deals to supplement our in-house exploration capacity. We tend to focus on targets with strong potential like the farm-in agreement at Saracen at Butcher Well, where we have the potential for new ore source to supplement the mill feed at Sunrise Dam. And in the U.S., we see very good potential in our suite of activities in Nevada, which looks better every month. Year-to-date, we drilled nearly 580,000 meters, with more than 10% directed at drilling generative targets. It's important we stay focused in the efficiency in our process. So we also apply operation excellence principles to our exploration to ensure we stretch every dollar. In that respect, drilling meters are up 63% over the past five years, while unit cost per meter drilled are down 28%. We've also replaced or increased reserves at two-thirds of our sites over the past five years, putting us near the top of our peer group. I will now hand over to Christine to walk you through the financials.
Christine Ramon: Thanks, Ludwig. Moving on to Slide 12, which talks the comparison of the key metrics. As you've heard from Kelvin, we delivered an overall funded operating performance in Q3, reflecting good cost control and capital discipline. Production from retained operations, after stripping out the SA asset sales remains steady compared to last year. Cash costs, all-in sustaining costs and all-in costs continued trending lower in the right direction, despite inflationary pressures, which was more than offset by weaker currencies, operational excellence savings and lower capital expenditures. Our consistent focus on improving margins and focusing on the controllable factors in our business has resulted in sustaining a healthy all-in sustaining costs margin at 23%, which is significantly higher than the prior year. Sustaining capital expenditure of $140 million in Q3, reduced by 36% compared to last year due to the peak of our inward investment program last year and capital reduction on the back of operational excellence. In addition to favorable currency effects and the impact of the now closed and sold SA region operations. The 5% lower gold price and lower sales volume had a direct impact on the 11% lower adjusted EBITDA of $355 million against the prior year quarter. Free cash flow improved from $19 million in Q2 to $34 million in Q3, despite a lower received gold price and was favorably impacted by higher gold sales and lower costs. Free cash flow for Q3 was adversely impacted by working capital changes mainly comprising of the timing of gold sales, Obuasi fleet pre-payments and dividends received, all of which are timing issues and are expected to positively impact free cash flow in Q4. Overall, free cash flow for Q3 excluding the SA region retrenchment costs of $9 million, is $43 million. It is encouraging to see that the SA region was already at $7 million free cash flow positive in Q3, despite funding retrenchment cost of $9 million. The final tranche of the SA retrenchment costs will amount to $15 million, and that will be paid in the fourth quarter. Cash generated from operating activities of the capital expenditure was $64 million, this excludes Kibali, which is treated as an associates in accordance with IFRS, therefore dividends received from Kibali are only recognized when received. Dividends received from Kibali for Q3 was lower than expected due to timing of the dividend declaration at quarter end and the administrative process is relating to the repatriation of funds. Kibali dividends received for Q3 and for the year-to-date were $25 million and $72 million respectively. We expect significantly increased dividends for the remainder of the year. On a positive note, the VAT receivables relating to Tanzania and the DRC has been largely steady, as we've been successfully offsetting some of the historical VAT. The recent signature of the VAT agreement with DRC government is a positive development, where the government has committed to a $40 million cash refund to the Kibali JV in respect of historical amounts owing. The balance of the VAT owing will be offset against future taxes owed and any future buildup of VAT receivables has been curved. As the purchase of local goods and services have been exempted from VAT. Some cash refunds have already started to trickle in. Moving on to Slide 13, looking at the cost performance in detail year-on-year. Our cash cost continue to improve at $722 an ounce or 11% lower than the prior year. Cash cost significantly benefited from the South African asset sales, weaker currencies in key operating jurisdictions and operations excellence efficiencies. However, inflationary pressures continue to prevail across the emerging economies that we operate in. We also saw higher mining costs relating to Geita underground, higher royalties at both Geita and Kibali, and the additional 1% clearance fees at Geita. All-in sustaining costs were 14% or $151 an ounce lower than the prior year Q3 at $920 an ounce. And that was primarily due to lower cash cost and lower sustaining capital. All-in sustaining costs for the international operations with 12% lower at $879 an ounce from $996 an ounce in the prior year. All-in sustaining costs for the South African operations in rand term were 12% lower, reflecting the benefits of the portfolio restructuring and asset sales and closures. In U.S. dollar term, all-in sustaining costs for the South African operations were 17% lower at $1,026 an ounce, reflecting the benefit of the weaker exchange rate. Moving on to Slide 14, our balance sheet remains strong with our net debt at the lowest level for 2012 and 15% lower than last year at $1.75 billion. Our net debt-to-EBITDA ratio of 1.13 times is healthy and reflects ample headroom to our 3.5 times covenant, providing the flexibility required in the volatile climate. We continue to maintain strong liquidity with no significant near-term maturity. We expect to benefit from improved cash flows in Q4 on the back of an uptick in production, particularly across the international region. Our capital expenditure, which is constantly under review, will peak in Q4 and will impact cash flow in addition to the final tranche of the SA region retrenchment costs amounting to $15 million. We expect to continue to benefit from efficiency improvement as well as from our leverage both to the gold price and currencies. We are pleased to advise that we have successfully refinanced our $1 billion and $500 million Aussie facilities into one multi-currency facility of $1.4 billion at the end of October with a five-year tenure. The facility caters for the flexibility to draw a maximum of A$500 million, the terms of the facility are similar to the prior RCF facility in terms of covenant level and reflects a more optimal margin. Finally, our credit ratings continue to remain intact. Moving on to Slide 15. In conclusion, our full-year guidance on ore production and cost metrics remain on track. In addition, we have lowered the total capital expenditure guidance range to $770 million to $860 million due to the Obuasi capital rescheduling. We remind you of the usual caveats to our guidance relating to any power, labor or other distractions. Production is expected at the top end of the guidance range considering the expected uptick in production in Q4 at Geita, Australia and Brazil. Costs are trending towards the lower end of the guidance range benefiting from weaker currency and the operational excellence initiative, which focuses both on efficiencies and capital reduction. Our currency exposure across two-thirds of our portfolio continues to provide a natural hedge to inflationary effects and to the volatility in the gold price. We remain sensitive to changes in the commodity price and currency. And the estimated impact based on the assumptions provided on all-in sustaining costs and cash flows are provided with a health warning. Capital expenditure is expected to increase in Q4 in line with past trend, although some capital savings have already been banked in the year-to-date. Sustaining capital expenditure comprises approximately three quarters of total capital expenditure. The expected increase in Q4 will be spent across our portfolio in the Americas, Australia, Continental Africa and at Mponeng in South Africa. The revised project capital estimate of $170 million to $190 million takes cognizance of the revised scheduling of Obuasi, which comprises approximately $81 million in 2018 largely to be spent in Q4. In concluding the JV underground mining contract for Obuasi, AGA has decided to fund $45 million relating to the mining fleet. Equipment orders and related deposits have been paid to keep the project schedule on track. This amounted, in addition to the $450 million to $500 million, three-year real-term project capital estimate previously provided to the market. And as Ludwig said, there will be a reduction of $25 an ounce in operating cost for the next five years, which offsets the cost of funding the mining fleet. And just to recap the revised timing profile of the total Obuasi capital spend for the next three years is 15% in 2018, 55% in 2019 and 50% in 2020. The Siguiri combination plant is in at $82 million for 2018 and that project as Ludwig mentioned is on track to be completed by the end of the year. The balance is made up of $10 million at Kibali and the completion of Mponeng Phase 1 at $7 million. I will now hand over to Kelvin to conclude.
Kelvin Dushnisky: Thanks, Christine. In closing, we have a sound strategy to drive value from a compelling side of assets, and this strategy is being executed. The quality of our portfolio is improving, and the value is being unlocked, while preserving our balance sheet. At the end of the day, the clearest measure of our success will be our ability to generate free cash flow and better returns through the cycle. It's still early days for me, but as my learning process unfolds, my confidence in our potential surface value continues to grow. I am very enthusiastic about our prospects. And with that, we're happy to open up for questions.
Operator: Thank you very much, sir. [Operator Instructions]
Stewart Bailey: Judith?
Operator: Yes, sir, I'm here.
Christine Ramon: Judith?
Operator: Hello, can you hear me? Can you hear me, sir?
Stewart Bailey: Operator, we're ready to take questions.
Operator: Are you hearing me? Hello?
Stewart Bailey: Sorry, everyone, if you'd just bear with us. It looks like we're having a small technical issue at the moment.
Operator: One, two, three. Ladies and gentlemen, please remain on line. I think the technical error is from the speakers' line. Please remain on line. Thank you.
Stewart Bailey: Hello.
Operator: Hello, Stewart?
Stewart Bailey: Yes.
Operator: Can you hear me?
Stewart Bailey: I can hear you.
Operator: Now, you can hear me. Thank you very much. Sorry, sir. [Operator Instructions] The first question comes from Chris Nicholson of RMB Morgan Stanley.
Chris Nicholson: Hi, good afternoon, everyone. Thank you for the call. Kelvin, I know you've made some initial comments around the portfolio of assets, the 14 potentially looking a little bit too heavy and maybe you're trying to build a greater critical mass around some regions. Could you maybe…
Stewart Bailey: Judith, we're losing this - Judith?
Operator: Hello, can you hear me?
Stewart Bailey: We can hear you now, but we keep breaking up.
Operator: All right, I'm going to suggest that the line - if you drop the line and call back in. Chris Nicholson, can you please remain on line and then we'll be responding to you shortly. Thank you.
Stewart Bailey: Everyone, on the call, just bear with us. We'll be back in a moment.
Operator: Thank you very much, sir. Ladies and gentlemen, please remain on line. We will be retrieving the main speakers shortly. Thank you. Ladies and gentlemen, apologies for the delay. Please remain on line. Thank you. Ladies and gentlemen, thank you for your patience. We've been rejoined by the main speakers. Thank you.
Stewart Bailey: Would you go ahead with your question again, please?
Chris Nicholson: Yeah, this is Chris here. Can you guys hear me this time?
Stewart Bailey: Crystal clear. Thanks.
Chris Nicholson: Perfect. Okay. Just to talk through, Kelvin, I know you have made some initial comments around potentially the portfolio of 14 assets maybe being a little bit heavy, and looking to refocus kind of around some regions where you have greater critical mass. I see also in this release you talked to potentially looking for some buyers for Sadiola. Could I just ask, with net debt to EBITDA now well below your kind of long-term gearing target, should shareholders be expecting to see maybe some of the benefits of this portfolio optimization to increase dividends over and above your stated policy? Or do you see, I guess, attractive reserve life replacement options that's having first call on cash? Thanks.
Kelvin Dushnisky: Well, thank you, Chris, and apologies again for the complication on the call. I think the starting point is, while indicated that first observations are 14 mines feels a little heavy, really what I'm looking to do in that context is that I think there is opportunity just to tighten up the portfolio to some extent. And you're correct, you'll see that our partner, IAMGOLD, and ourselves have elected to consider options in regards to Sadiola. Now, Sadiola has been a - as you know, has been a very productive mine for the company. And our view is that it could very likely continue to be a very productive mine in someone else's portfolio. And our thinking around that is that, if we are to divest, take proceeds from it, reinvest back into the business, now, the net debt to EBITDA ratio coming down to the 1.1 level, it is very positive. And as you know, our target is to be 1.5 or less, or nicely below that. In terms of proceeds from divestments, again, starting point there is that, we don't have to do anything. And so, there will be no fire-sales if we don't see full value or else we're perfectly happy to keep the portfolio as it is and keep working to drive down costs. And you see the benefits of that through the operational excellence work that's underway. As far as deciding between dividends, reinvesting back into the business and so forth, the dividend policy is something that board will review and does on a quarterly basis. Certainly on a going forward basis, I'd like to see us being in a position where we can continue to progressively increase dividends over time. But first things first, I mean, there is the potential to reinvest back in the business. We see great optionality around the existing assets. And that would probably be the near-term priority. So hopefully, that addresses your question.
Chris Nicholson: It does indeed. Could you - if I can maybe just ask a quick follow-up question, the regions which you talk around - which might be attractive to build some greater critical mass, are you in a position yet to maybe comment on where those might be?
Kelvin Dushnisky: Chris, if you allow us, I am kind of - its early days, and as we're working our thought process through, and I'm doing that together with the team. We'd be better positioned to do that with our Q1 and year-end results if you'll be patient with us in that respect.
Chris Nicholson: Sure, great. Thanks. Thanks for your time today. Thanks a lot, guys.
Kelvin Dushnisky: Thanks. Thanks for the question.
Operator: Thank you. The next question comes from David Haughton of CIBC.
David Haughton: Good morning, Kelvin and team. Thank you very much for providing an update. Listening to your previous comments, Kelvin, I know that you've spent quite a bit of time on the road, visiting most of the assets. And I wonder if you could just give us your snapshot beyond your introductory remarks as to what surprises you've encountered on the road.
Kelvin Dushnisky: David, thanks. First of all, thanks for dialing in. When I joined the company my impressions were positive coming in. And I have to say, they've only been reaffirmed and probably increased in terms of what I see throughout the company, talent deep throughout the organization, from an operation perspective, really across the board. I was able to spend time at Obuasi not long ago. And I left there very impressed, and as I indicated at the start of my call, both at the team on the ground, the relationships that I've seen in terms of stakeholder engagement. And that's something I've seen consistently across the company as well, which was, I don't want to say it was a positive surprise. I didn't expect anything less. But it was very nice for me to have that reaffirmed. One thing I wasn't aware of before I joined the company was the exploration potential. I had a sense of it. But for example, what Ludwig described earlier in his comments in relation to Nevada, the potential we're seeing at the new prospects in Minnesota, I mean, those were all new to me. And I just think that, when I look at the pipeline and the exploration potential around the existing assets and generative work that's been underway, I came away from those discussions very enthusiastic. And you should expect to see more detail around that as we go from quarter to quarter. And so, those are some initial observations, all very, very positive.
David Haughton: Okay. Just going a little bit deeper, just looking at your new CapEx numbers, I know that you've revised them down, but it does seem as though what we've seen year to date that you still got quite a bit of room on your CapEx. And I'm wondering whether there is potential for further CapEx savings, given some of the commentary that we've seen on FX and whether there is any potential for deferral into next year, in particular the sustaining CapEx year-to-date looks relatively light in comparison to year-end guidance.
Kelvin Dushnisky: Maybe I'll ask Christine to respond to that, David.
David Haughton: Yes, thank you.
Christine Ramon: Hi, David. I think specifically respect of the capital guidance we've given you the total capital guidance range, which was only revised down for the Obuasi rescheduling. I think typically in Q4, it is a peak capital quarter. And I think we are expecting to spend that across our portfolio. But like you said, it is subject to the currency assumptions that we've given you. So if we see further currency weakness, it could actually impact those numbers. And like we say, CapEx is also constantly subject to review. When Ludwig has got his operational excellence initiative, which has already given us savings in the year-to-date numbers, so if that comes through, then I think that would be a positive as well.
David Haughton: Okay. I've just got another operational question here, if that's okay. Hearing metallurgical kind of issues for Sunrise Dam, I'm wondering if there is a resolution that you can see for that.
Ludwig Eybers: Thanks, David. This is Ludwig. Look, it's - with most of these projects, you normally go through a bit of teething problems. I think it wasn't so much the metallurgical issues. It's more of the arsenic pyrite that we actually saw quite an extraordinary arsenic pyrite that came through this quarter. And this is just - it's actually a bit of an anomaly. You will find it every now and then. As you mine through this orebody, you will find these high levels of arsenic pyrite. And typically, if you compare it to quarter one of this mine, the mine had a really good quarter, we actually saw a very little of that. So it was just the learning curve, we had to go up. And at this moment, it seems quite stable. We've actually got a lot of - especially all hands on deck and we've got even outside help to monitor this. So I can - going to the future, I think, it will stabilize and we'll see the five to six and even higher upgrade on the Sig [ph] plant or the flotation. So I think, we've gone through that by now, and going forward, it will stabilize.
David Haughton: Okay. I'll leave it there for now. Thank you.
Operator: The next question comes from James Bell of RBC Capital Markets.
James Andrew Keith Bell: Hey, good afternoon and thanks for making time for the call. The first was just on cost. Obviously, the big step-down in cash cost was from the closure and sale of operations, but there was also a small move downwards from the efficiencies of around $11. Do you think that's a sort of run rate that the operational efficiency program can continue to achieve looking into next year? Or do you think a lot of the low-hanging fruit has been achieved on that front?
Ludwig Eybers: Yeah, James. It's Ludwig again. Look, part of our operational excellence program is to look at sustaining costs saving. So most of the savings, we're getting at this moment, we've actually really started to build into our numbers next year, and we track that on the regular basis. Like I said, most of our savings came from the operational efficiencies, and obviously with the exchange rate. But I can see these costs, like I said, I can see it sustaining and actually we will see a lot of these cost saving going to next year and the year after that.
James Andrew Keith Bell: Okay, good. And then just one on Obuasi. You've got a relatively short time line to production in Q4 next year. What are the big-ticket items or risks we should be looking out for, say, Q1, Q2 next year that are sort of need to be checked off for you to hit your time line to production?
Kelvin Dushnisky: Thanks, James. Graham, if you are on the call, if you could respond to that one.
Graham Ehm: Okay. Thanks, James. I think the first ticket - or first thing to watch was mining contract. That contract was awarded at the end of October, and equipment deliveries, we took the initiative to kick those off in June. So from a mining ramp-up point of view, we are in good shape. And the critical thing would be mobilizing the operating team. We got an operating team in place. A few key positions are still to be put in place, but we're handling that with existing people and support from the rest of the organization that would be the next thing to watch. And probably more critical is the refurbishment of the process plant to enable the 2,000 tonnes a day. We'll be using an existing milling circuit, the SAG 2 circuit, which we got capacity for 2,000 tonnes. But we do need to refurbish other elements of the plant against that capability. So refurbishment is really a critical part. The planning for all event is all on track and quite well. It's going to be a challenging schedule. But from the rework of the schedule over the last few months, I think, we've got it under control. But that's the area where we will be actually focused on.
James Andrew Keith Bell: Okay, great. Thanks for that.
Kelvin Dushnisky: Thanks, James.
Operator: The next question comes from Dominic O'Kane of JPMorgan.
Dominic O'Kane: Hello, Kelvin, apologize if I missed the start of the call, but just wanted to maybe get a bit of an update on Tanzania and just wondered if you could maybe give a little bit of an update on what you're seeing in terms of timing of cash flows specifically VAT? And then leading on to that, as you come into the organization from a previous organization that had exposure to Tanzania, I just wondered if you could comment on some of the risks you see associated with Geita, or alternatively, some of the risks that you think are less directly comparable between Geita and your previous organization?
Kelvin Dushnisky: Sure. Dominic, well, thank you for the question. Maybe I'll start and I'll go in reverse order, if you don't mind, and I'll transfer over to Christine to talk a little bit more about the VAT. I guess, the starting the point is what I've observed coming into AngloGold Ashanti in respect of Geita is the - a few things. First of all, the relationships on the ground, starting the ground level up, very, very positive. Community engagement, I think, has been active, and I think very well managed, likewise with local officials and moving on up. Dialogue with the government has, I think, been open and constructive, and that's positive. And so from those perspectives, I think, that Geita is a little unique. The other thing with Geita is, over the course of its 20 years' operating. It's been a large tax payer in country, in fact, it's the largest tax payer in the sector. And I think round numbers, the economic split has been about 60-40, government-AngloGold Ashanti. So those things are really unique in the Geita context, and so I think that's positive. We'll just continue to operate the project as efficiently as we have been. In terms of the VAT, we slowly started to see some offsets take effect. And maybe with that, I'll turn it over to Christine, and she can comment a little bit more.
Christine Ramon: Yeah. Hi, Dominic. Just on the VAT, so we've seen a very, very marginal increase in the VAT in Geita. I think, what's quite positive and that's continue to trend from what we reported in Q2 is that we've been able to offset some of the historical VAT against tax payable and keeping the fine balance between taxes payable and what we are offsetting, and we expect to continue that going forward. So the VAT outstanding is about $88 million at the end of Q3.
Dominic O'Kane: And Kelvin, if I could just maybe just push a little bit on Tanzania. Do you - are you happy with the sort of medium- and long-term CapEx planning for Geita?
Kelvin Dushnisky: Yeah. I think that the level of capital investment this year and then for next year is right. I think, it's consistent with our need to maintain that as one of our key operation.
Dominic O'Kane: Okay. Thanks. Thanks, all. Bye.
Kelvin Dushnisky: Thank you.
Operator: [Operator Instructions] The next question comes from Johann Steyn of Citigroup.
Johann Steyn: Hi, there. Thank you very much. And then, I got dropped a couple of times, so apologies if I ask a question that has been asked before. Kelvin, a question for you. Having had a chance to look at the life of mine profile for each of your mines, and the current little of capital expenditure, how comfortable are you that you're spending the appropriate or sufficient amount of capital at your mines to at least sustain production over a five-year period?
Kelvin Dushnisky: Johann, thank you for the question, first of all. In fact, it's timely. We're just going through the budgeting process now and we're going to be presenting our budget to the board next week. We spend a lot of time on this specific question, and I'm quite comfortable actually that the capital - CapEx plan for next year is the right amount to ensure that we sustain that production going forward.
Johann Steyn: So you said, what, said about $800 million a year will be for you to sustain the 3.3 million ounces over a five-year period?
Kelvin Dushnisky: Less. It's more in the $600 million range.
Johann Steyn: That's interesting. That's very interesting. Okay. Thank you.
Kelvin Dushnisky: Yeah. I think the rule of thumb that Ludwig and others have shared with me is something in the $170 to $200 an ounce range.
Johann Steyn: So just to understand, you right. You would say that in five years' time, you would be at company level, obviously, ignoring now divestments or anything like that, 3.3 million ounces spending roughly, let's call it, $650 million a year of capital in total.
Kelvin Dushnisky: Yeah. We have to be careful. We don't guide five years out in terms of production or CapEx. So…
Johann Steyn: Yeah. No, but it's important for people to effectively to model to make up an assessment of the cash generating potential of this company, not just over the next 12 months, but over a five-year period.
Kelvin Dushnisky: So, I would say in that context, Johann, that number is a number that we'd be reasonably comfortable with, that $600 million to $650 million. And again, but don't hold me, we don't guide out that length of time. But I understand your question. And that's a number that we'd be generally comfortable with.
Johann Steyn: Okay. Thank you.
Kelvin Dushnisky: You're welcome.
Operator: [Operator Instructions]
A - Stewart Bailey: Judith, we can end it there.
Operator: Thank you, sir. We have no further questions in the queue. Do you have any closing comments?
Kelvin Dushnisky: I just like to - it's Kelvin. I'd like to thank everybody for dialing in. We're really pleased with the quarter. And we look forward to reporting back with our next quarter results and our year-end for 2018. So thank you very much.
Operator: Thank you. Ladies and gentlemen, once again, thank you for your patience during the technical issues we had earlier. And on behalf of AngloGold Ashanti, that concludes this afternoon's conference. Thank you for joining us. You may now disconnect your lines.